Stella David: Thank you, and good morning, everyone, and a very warm welcome to today's call. I am delighted to be here not only to share a strong set of results, but also to speak to you today as Entain's permanent CEO. It is a huge honor to lead this incredible business at such an important and exciting time on our journey. I am joined today by Rob Wood, our CFO and Deputy CEO; and our Investor Relations team, and we're looking forward to taking you through today's update. So here's the plan for this morning. I'll start with the headlines and some highlights on the operational progress we are delivering. Rob will then dig into the trading performance and the outlook, and then we're going to open it up for your questions. But before we get into Q1, I want to take a moment to briefly reflect on where Entain is today. We are a business with great potential. We have been honest about the challenges, and we have faced into the brutal truths and importantly we have acted. And now we are starting to see real results, a return to growth, stronger momentum and a business that's getting sharper, faster and fitter every day. Entain is already a global player, but there is so much more potential. With iconic brands, a growing footprint across regulated markets and a strategy that is delivering, the opportunity ahead of us is significant. And we will deliver on our potential by elevating and accelerating our performance with focus and teamwork, every single day committing ourselves to deliver improvements. So let's dive into Q1. Entain has had a strong start to 2025 with results ahead of expectations and momentum building across the business. Beyond the benefits of favorable sports margins, what really matters is that our improved operational execution is making a real impact and setting the foundations for sustainable growth. Both Entain and BetMGM ended 2024 strongly. And this quarter, we have built on that progress. A few key headlines for Q1. Total group NGR, including our share of BetMGM, was up 11% in constant currency. Entain Group NGR grew 8% with Online up 10% and Retail up 2%. Looking now across the business. U.K. Online delivered outstanding growth, up 23 percentage points with strong customer volumes and supportive sport margins. Brazil continues to shine, up 31%, as we transitioned successfully to the new regulatory regime. BetMGM continues to gather pace with strong growth across iGaming and Online sports. Investment in product, player experience and engagement are delivering and the customer metrics give us even more confidence in the months ahead. So it's been a strong start to the year, but we all know there is still a lot more to do. In fact, I'm banking on it. Inputs drive outputs, and we're just getting started. So if 2024 was about facing the brutal truths and stopping losing, then 2024 is about one thing. Starting to win again and winning in the right way. So with that, I'm going to now hand over to Rob to take you through the numbers in more detail. Over to you, Rob.
Rob Wood: Thank you, Stella. Good morning, everyone. I'm pleased to be reporting another strong set of numbers for Entain with Q1 coming in ahead of expectations. Just as you heard from BetMGM yesterday, Entain has started 2025 strongly with improving momentum from 2024 continuing so far this year. So let's dig into Q1 details. And as usual, all revenue growth numbers that I quote will be in constant currency. Group NGR was ahead of expectations for both Entain and BetMGM. Including our half of BetMGM, Group NGR was up 11%. And within that, Online NGR was up a very pleasing 15%. Excluding the U.S., Entain's NGR was 8% ahead with Online better than expected at plus 10% and Retail in line with expectations at plus 2%. So what were the drivers of our outperformance versus expectations in Online? Two things. Firstly, we saw stronger-than-expected volume growth in the U.K., particularly in gaming. And secondly, sports results were a good guide this quarter, which I'll elaborate on further in a moment. So together, U.K. volumes and a favorable win margin drove the beat to expectation in Online. Now digging into Online growth in more detail, which, as I said, was up 10% for ex-U.S. NGR. Firstly, sports margin was up 0.6 percentage points year-on-year, up to 14.9%, thanks to favorable football results across Europe, and that's accounted for approximately 2 percentage points of the 10% NGR growth in Online. Looking by market now, and U.K. and Ireland had a fantastic Q1 in Online with NGR up 23% year-on-year. Aside from a small benefit from sports margins, what's really pleasing is that the growth in the U.K. is driven by volumes. Volumes were up 21% with both sports and gaming better than expected. As you know, a key driver of our U.K. year-on-year performance is the simplification of customer journeys and the leveling of the playing field from the voluntary code last year, but we are also supporting these tailwinds with investment behind our brands in both products and marketing. And importantly, we expect to have outperformed the market in the U.K. in Q1, which marks the start of a return to fall for our U.K. brands. For international, Online NGR increased by 4% year-on-year. Brazil grew 31% as we successfully launched into the new regulatory regime. Our ongoing focus on localized products and our partnership with Palmeiras are resonating well with local customers and our acquisition and retention KPIs remain strong. In Q2, we really lapped the Copa America tournament last year, and we have tougher comps in H2, but we're pleased with our outperformance so far in 2025 and remain positive about the Brazilian market and our competitive position. In Australia, NGR was down 8% year-on-year, mainly due to adverse horse racing results. And in Italy, NGR was up 7% year-on-year, in line with expectations. Importantly, we held market share in Italy for the third consecutive quarter with Eurobet continuing to perform better than our Online-only brands. Many other international markets have started the year strongly. Spain, Greece, New Zealand, Canada and Austria all saw double-digit growth in Q1. And it's this geographic diversity that provides consistency in our blended group performance, allowing us to absorb the expected declines in Belgium and The Netherlands, while still producing growth overall. On to Entain CEE, and double-digit growth continued into Q1 with NGR up 13% as both SuperSport in Croatia and STS in Poland capitalized on their number one market positions. And just a quick comment on Retail. Retail NGR at plus 2% in Q1 was in line with expectations as the benefit of favorable sports results offset softer-than-expected volumes in U.K. gaming. You'll remember, I called out some softness in the U.K. gaming market on previous updates, and this has continued. However, our U.K. Retail business took share in Q4, and we expect it to have taken share again in Q1 as we continue to invest and outperform our peers on the high street. On to the outlook for 2025 now. We are pleased with our Q1 trading and Q2 has begun well on both volumes and sports margin. Just as with BetMGM yesterday, we now look forward to the rest of the year with increased confidence. All existing guidance is retained, and so we are reiterating our Online ex-U.S. NGR expectation of mid-single-digit growth on a constant currency basis. That constant currency point is important for your modeling given FX rates continue to affect our reported numbers. As we look ahead for the rest of the year, the year-on-year comparators start to get tougher for both BetMGM and Entain ex-U.S., and therefore, growth rates will ease. But importantly, that's not a reflection of the strong underlying momentum that we are seeing in the business. In summary, we have started 2025 strong. Our key markets are performing well, and our strategy is working. We are improving operational execution. We are investing into our brands and products. We are benefiting from a leading portfolio of podium positions in attractive and regulated growth markets. Put it all together, and we are returning Entain to long-term structural growth with the highest quality of earnings. With that, I'll hand the call to the operator to open to Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Ed Young of Morgan Stanley.
Ed Young: I've got 3 questions, please. The first is to Stella. First of all, congratulations on the role. Could you please give some thoughts, what areas, if any, you think require a change in approach or emphasis now you've got the permanent job? Or -- and I don't want to get into the train now, it is going again, but do you think your job is to sort of maintain continuity and stability on the current direction? The second is on Brazil. Clearly, you delivered very good growth in the quarter despite what you've signaled as a difficult transitional January for the market as a whole as it opened. Could you give some color on the shape of performance across the quarter or perhaps the exit rates out of the opening of the football season? And then finally, on the BetMGM call, Adam spoke to a tech platform level upgrade that should improve app speed quite dramatically, which has been a persistent area of critical feedback around the U.S. product. Can you give a bit more color on that, its timing, and how that could benefit potentially the wide business as well?
Stella David: Okay. Thank you very much, Ed. Great to get your 3 questions. Rob and I will both answer them together. But let me take the first one, which is, first of all, thank you for congratulating me on the CEO role, very much appreciated. Your question was whether I would have a change in approach now that I've become the permanent CEO. And the answer is absolutely not. I believe fundamentally that continuity and stability is what makes companies work well. My mandate has increased because people know I'm around. So that changes, I guess. But the continuity and stability and focusing in on the things that matter has been what has driven us to the good results that we've got in Q1 2025. And I go back to this time last year when we were sharing the brutal truths about how we needed to improve operational excellence, how we had to get ourselves ahead of the curve, absolutely remains the same. Now the difference that exists is once you start to get ahead of the curve, the choices that you have to do more interesting things clearly increases, whether that's operational excellence or whether it's choices about M&A, of course, they change. But the engine that drives it, maybe the train that we're talking about going in the right direction, is all about continuing to build that momentum. And the worst thing this company could do right now is take its foot off the accelerator. So my focus is about saying, okay, how do we take it to the next level of execution? Because there is an awful lot more to do. So hopefully, that answers the question in terms of direction of travel. The more we go in the right direction, the more choices that we have to add value. The second question you asked about Brazil. And yes, we're very pleased we had a good Q1. And yes, I think like the rest of the industry, transition is always slightly challenging, and we certainly saw an acceleration through January, February and March. But I'll let Rob answer the details on that one in a moment. And then on BetMGM, yes, we've got some really good improvements coming through to the market in terms of making sure that we are improving the speed and getting ourselves into the position we want to be. But I think that some of the tech improvements that we've already put in place during 2024 are starting to show real results for our BetMGM colleagues. So we're excited about that. But maybe I'll just ask Rob to put a little bit more detail on some of those questions.
Rob Wood: Yes, a few points to add. So in Brazil, whilst volumes were slower in January as we were re-KYCing the database, we actually had favorable margins. So when you look at NGR growth through Q1, it was actually reasonably consistent. So there's no real story there. I would say that we're pleased with April so far in the start of the Sera half season. So Q2 going well already, especially leveraging the Palmeiras sponsorship, which has been a good driver of FTDs for us. So I think broadly a consistent shape through Q1, but a strong start to Q2. And then perhaps just to add on technology. And as you referenced, Adam, referring to the single domain work that's going on to improve app speed and site speeds. Just to call out, that benefits all Entain markets. So the U.S. across all states, but also all our ex-U.S. markets as well. So it's a major deliverable for us, which all our teams are looking forward to. Other areas of product focus in the U.S., Angstromising in-play same game parlay is a major deliverable across the major sports in 2025 and also a lot of sort of back office improvements to pricing, so trading automation, improving pricing accuracy, increasing availability of markets. Those are probably some other areas that I would call out that are expected to benefit BetMGM this year.
Operator: We have a question from Estelle Weingrod of JPMorgan.
Estelle Weingrod: Congratulations as well, Stella, on the new role. The first one is on Australia. Could you elaborate a bit more on what you see happening in the market, which in theory should have bottomed out? Is the underlying market growing year-on-year ex-sports results? That's the first question. The second one on U.K. Retail. What is driving the volume weakness after the rollout of the new cabinet? I mean, gaming NGR was down 4% and sports was relatively soft as well, I guess, just up 3% despite the positive sports results. And the last one, just a quick one on the U.K. Could you give us the underlying NGR growth adjusted for the favorable sports results to have a better idea on the underlying trends, both for Online and Retail?
Stella David: Thank you very much, Estelle. And thank you for the congratulations. I appreciate that a lot. Given that your questions are going into quite a lot of the specific numbers, I'm going to let Rob, who is my fountain of knowledge on these things, deal with some of those specifics. Is that okay?
Rob Wood: Yes, absolutely. So let's start with Australia. So I would say volumes are broadly flat in the Australian market. That's what we've seen in Q1. Across '24, we hedged the market with low single-digit growth, but broadly flat, and that's carried on into Q1. The cyclone didn't help volumes. We did lose a lot of racing fixtures, but fairly immaterial in the grand scheme of things. So the minus 8% that we saw was very much margin led. U.K. Retail was your next question. So drivers of the softness in gaming, we think there's a few things. Firstly, recycling from sports. It is a factor. It can move the dial by sort of low single-digit percentage points. And football margins have been on a strong run in the U.K. through Q4 and Q1. So that will be one factor. The second factor, which is perhaps more unique to us is the performance of gaming Online, it has to have some correlation to the softness in Retail. When we look at the combined gaming was up double digits in Q1, up 11%, I think, in the U.K. So strong numbers combined, but there will be some degree of players going back from the Retail environment into Online, and so there will be some offset there. The third aspect is AGCs. And we think that AGCs have sort of flown under the radar a little bit. These are adult gaming centers, so arcades, so not licensed betting offices like we have and the sports betting providers have, but arcades, if you like. They've sort of flown under the radar recently, don't have the same sort of approach to monitoring players and so on. But we know that the Gambling Commission will be looking at them soon. So there's a theme there. That all said, though, we're actually pretty happy with how U.K. Retail is trading. We took share across last year, again, in Q1, at least versus the one operator who's reported so far. Our Kascada terminals are performing well, delivering the uplift we expected. Employee engagement has never been better. Our engagement scores have never been higher. Employee turnover has never been lower. The one interesting fact, around 75% of Retail revenues are now digital, meaning that they don't come from over the counter, they come via the machines. And that's really where we've been investing so much over recent years. So we think we have the best digital offering on the high street. And that, as I say, is 3/4 of the revenue base now. So we're pleased with Retail. And then, of course, the big picture, it's an important asset for driving the Online performance as well as creating and producing cash for us every year. So that's Retail. And then U.K., I think the question was out of the 23% Online NGR growth, how much was volume there? The answer is 21%. So a couple of points associated with sports margin, but the rest is all volumes.
Operator: We have a question from Monique Pollard of Citigroup.
Monique Pollard: Congratulations again, Stella, on the role. I have 3 questions as well, if I can. The first one was just about the guidance. Obviously, the guidance has been kept unchanged with and that's Online NGR growth mid-single digit constant currency. When I look at your 1Q results, it seems to me they would have been, I don't know, let's say, about 8% even ex the better results. So are there areas that you expect to materially slow as we go through the year? Or is there upside potential to that guidance? That's the first question. The second question, Rob, to your point, you've outperformed the market or you're pretty confident you've outperformed the market in the U.K. Online in the first quarter. Do you think you now are on a role where you can continue to outperform the market and take market share U.K. Online as we go through the rest of 2025? And then the final question is just on The Netherlands. Obviously, that market has been impacted by new regulation. Just wondered if you could give us how much revenues have declined there in the first quarter.
Stella David: Thank you so much for your questions, Monique. So I'll start answering some of these, and then I'll hand over to Rob. And again, we'll do a double act on these. So the first one was about the guidance being unchanged. And I'll let Rob do any sort of technical answers. But I think we've just got to be optimistic, but prudent. We've started the year very well, but it's the beginning of the year. We've just done Q1. Yes, April started well. But we want to make sure that we are going in the right direction. And yes, our confidence is looking good, but we think it's the prudent thing to be where we are right now. But I'll let Rob come in to answer that question. But I am -- philosophically, we want Entain to be delivering to and ahead of expectations, never falling behind again. So it's very important we get that right balance. If we talk about the U.K. Online, and I think the question was, do you expect us to continue to outperform? Or was this a one-off? I look at the history to inform the future on things like this. And if you look over the last few years, Entain, facing its brutal truth, lost a lot of market share in the U.K. And when I spoke to you this time last year, we said that we had changed the U.K. leadership team, bringing it under one head for both Online and Retail. We were putting focus behind the product and the experience on the app. We were improving customer journeys and a whole host of other things. So our objective absolutely is to continue the momentum in the U.K. It's been a key part of our strategic plan and our operational delivery. So I'm very hopeful that with all the things we've got in plan that we continue that journey. And then obviously, The Netherlands is your third question. And I'm going to let Rob just probably pull out a few of the details there. But obviously, it's a very difficult regime, which is why the numbers are much softer, and we expect them to continue to be softer as a backdrop to a market that in huge proportions is going black market there. I mean, we haven't got the exact numbers, but we assume that probably over 50% easily of that market is now black, and it's just something that we've got to cope with. But maybe you can just comment on those 3 questions, Rob?
Rob Wood: Yes. We'll do. So yes, when you look at mid-single digits for Online across the full year, yes, plus 10% in the first quarter, you might conclude that the guidance is conservative, but it is really important to remember that in Q2, we lapped the Euros and Copa America. Across the second half, we lapped the acceleration in the U.K., similar story for Brazil. And then in Q4, the whole market had really strong sports margins in 2024. So you put it all together, I think the guided range is still appropriate. Yes, we're a nudge ahead of that so far, but that doesn't put us beyond the range of mid-single digits, if you like. So there's some wiggle room with that phraseology as well. In the U.K., I wholeheartedly support Stella's answer. Yes, we can continue to take share, product-led. We are accelerating our products at a more rapid pace than the market. But in sports, that's because we're coming from behind, and there's still a long way to go, and our gaming product is strong. And then on the marketing side, we are increasing investments, as we talked a little bit about last time, but also increasing the effectiveness with some fresh leadership has been helpful and also centralizing performance marketing, which I think you had Stella talk about at our March results and all those things contributing to giving us some confidence that we can continue to take share. On The Netherlands, to be specific, we were down 26% in Q1, which is almost exactly in line with our own expectations. So Netherlands is down to just 2% of the group's revenue. So a small part of the business now, but the decline material in line with expectations, actually slightly better than the market leader who's reported their Q1 numbers already. But as I say, in line with expectations.
Operator: We have a question from Adrien de Saint Hilaire of Bank of America.
Adrien de Saint Hilaire: Also extending my congratulations to Stella for the role. So I've got 2 questions, if that's okay. Sports margin have been a tailwind now for many quarters. Are you able to unpack a bit what is driven by the outcome of actual results and what is driven by change in mix or better pricing? And what you would consider to be a normal level of sports win margin expansion? And then secondly, your PE multiple right now stands at about 10x next year, around 14x in '25, which is generally a bit below peers. I know you obviously can't control the share price, but what do you think is in your control for the market to re-rate some of your assets? Stella David Okay. Adrien, thank you, and we'll take your questions. Let me just have a little answer on your second question, which is our PE multiple and our share price. The way I think we get our share price to where it deserves to be, by the way, is a lot better place than it is, is that we give confidence to the market that we do have that stability and we do have that forward look that the market can believe in. And even though we're talking confidently about the future right now, I think it's the third quarter in a row that we've been reporting good results that have been in line or ahead of expectation. So I think it's one of those things, which is generating trust and confidence is a huge part of that journey, which we hope to continue to fuel by continuing to do the right things and get the right outputs as a result of that. But I'll hand over to Rob to have his point of view on that one. And maybe, Rob, you could just talk a little bit about sports margins. So, I mean it's an interesting one when you look at sports margins because we have the exact opposite taking place in the U.S. that people are saying the sports margins are below the expected level. And statistics is an interesting thing. Very, very long-range sports margins tend to take longer to normalize than maybe we like to think they are. I mean, particularly in the U.S., the short-term issue on margins is the number of data points is not the long-range one at the moment and then maybe a bit vice versa in the U.K. But Rob, would you want to add any sort of color to those things?
Rob Wood: Yes, I'll add some thoughts. So in sports margin, we were -- I was looking at this yesterday, if you plot our quarterly margin over the last few years, you do see a gradual trend upwards. So there is beyond the luck of results going for you or against you, there is clearly structural growth. Drivers of that, I would say, number one is player mix as we've gradually become ever more recreational. There is also an impact from acquisitions. Our acquisitions have tended to be higher margin, more so than Poland. For everyone's benefit, Poland is all sports. So it's a material part of our sports mix, and it trades at a GGR margin in the 20s, which is sort of a feature of the market given the high turnover tax there. So that's structurally increased our margin. And then there is a degree of trading tools constantly improving and evolving. And now the Angstrom team are being helpful in that regard as well. Put it all together, remember a couple of years ago, maybe 3, 4 years ago, I used to say that our expected margin started with a 12%, then it became 13%. Now I would say that we would expect our margins to start with a 14% and Q1 was off to a good start with 14.9%. In terms of share price, I think Stella answered it perfectly. Confidence in our delivery of numbers is the most important thing. So it's upon us to deliver quarter-after-quarter. I mentioned earlier, we've done 3 quarters in a row now of robust Online ex-U.S. growth, and we need to continue that. And of course, confidence in BetMGM as well. Outside of that, we want to, of course, keep showcasing the quality of our brands, the quality of our footprint. You would have heard us on 6th of March talk about how we think 85% to 90% of our revenues comes from podium positions. The fact that we're 98% locally licensed, the fact that we have this great geographic diversification, all that points towards strong and sustainable revenues and good growth into the future. So reemphasizing that. And then some regulatory wins coming down the track will be nice as well, for example, the [indiscernible] match in New Zealand, iGaming in New Zealand, iGaming in Poland, potentially, all these things will be helpful to our cores as well.
Operator: We have a question from Pravin Gondhale of Barclays.
Pravin Gondhale: Stella, many congratulations on the appointment. Firstly, if I may ask on U.K., you obviously flagged that you continue to win share and then the volume growth has been really strong in Q1. Can you help us split that between the market share gains from the level playing field and then the product improvement that you have implemented in last 12 months or so? And then secondly, do we have any update on the AUSTRAC proceedings? Sorry if you have already sort of commented on that, and I might have missed that, but an update would be helpful. And then finally, are you seeing any softness in consumer spending in any of your markets?
Stella David: Okay. Thank you so much, Pravin. First of all, I'll take a couple of these, and then I'll let Rob probably talk about some of the U.K. specifics, even though I'm not sure we've got that much market share data that we can share. So first of all, on AUSTRAC, there really is no update that we can share the journey that we outlined at the full year results and conversations we've had since had not changed. It is a journey where we hope to go through to mediation and an output by the end of the year. But there's nothing new to share on that. If you talk about has there been any customer -- consumer softness, I think it's a really interesting question about how resilient our category is in a period of volatility. So I'm very well aware that there are other categories, whether it's travel and leisure, whether it's buying big items, cars, whatever, there has been a lot of talk in the media about the softness that those categories are facing. We haven't picked up anything in our own experience to date. And I think it comes down to customer psychology. When you're in a period of volatility, we know from historical situations that we've monitored that people tend to -- they go back to the nest, if you like. They stay at home more. They don't commit their long-term funds to doing things. But while they are being nervous and cautious in those respects, they still want to engage in their favorite sports and they're having a bit of fun playing games. And so they may not be traveling and going to the big sports events, for example, but they still want to bet on it and be fully engaged. And so because it's an instantaneous expenditure, that is discretionary and you can just say, well, I'm back at the nest now. I can actually invest in that and still have a bit of fun. So absolutely no indication from any of our markets that I am aware of where we have seen any indication. And as Rob said at the beginning of the call, we've started April very positively. So keep the fingers crossed, but I think the historical norm of this being a resilient category is currently proving to be true. So can I just hand over to Rob comment on that or mainly to answer on the U.K. question?
Rob Wood: I mean, just a small build on the first one. I think you covered AUSTRAC and consumer. And that's to say that no, we don't know how we perform relative to the market in Q1. The only data point we have so far is [Evoke] reporting minus 1% against our plus 23% and expect the Gambling Commission to be reporting soon, but we don't know any more than that at this stage.
Operator: We have a question from Ben Shelley of UBS.
Ben Shelley: Congratulations, Stella. One, just on guidance. Following Q1, do you think there's a bit of a blend shift in your expectations from the respective Online and Retail segments, perhaps more contribution coming from Online? And then two, on the portfolio, I know you have no explicit plans here, but could you give us some updated thoughts on maybe Georgia and Italy? And then three, on product. Can you talk about Angstrom integration? Is this still very much a U.S. piece? And can you talk about when and how it might be leveraged to the ex-U.S. business and what product upside that might drive?
Stella David: Great. Thank you, Ben. So I think -- I seem to answer these questions back to front. I think it may be something to do with my brain. We're going to go 3, 2, 1. And I'll let Rob do one. But I'll do a little bit on Angstrom, but I think Rob may comment on that because he's very close to Angstrom, and I'll talk a bit about the portfolio. So on Angstrom integration, it really is focused on the U.S. right now. It's not to say there aren't opportunities elsewhere in the future, but there's a lot of things that we're doing with Angstrom, which will improve the number of choices for our customers like in-play parlays. So let me let Rob just talk a bit about Angstrom, but very much U.S. focused today. On the portfolio, I don't think I specifically talk about Georgia, get my names right. Georgia or Italy, I think I'll just talk about it in more sort of principal terms, which is Rob said earlier on the call, we have got podium positions in the vast majority of the markets we operate in. And I do recognize there's a difference between #1 and #3, but let's build on the strength that we have. And in some of our markets, we have some really exciting opportunities. But we still have, and I fully endorse it, by the way, the capital allocation committee, which is there to work with management and provide insight to the Board on what our portfolio opportunities are going forward. And nothing has changed in terms of the sentiment that we put out there over the last year or so, which is there are no sacred cows, and it's about evaluating opportunities to either buy or divest or change our investment strategy across the piece really to say, well, what adds best long-term shareholder value. Not in for a quick fix but long-term shareholder value. And so therefore, that journey will continue to be the case. I've got no specific news on Georgia. I mean it's the #1 market. It's absorbed some tax increases recently, but it's still really good and provides great cash generation. And Italy is a hugely important market. And as Rob said, it's encouraging that for the last 2 or 3 quarters now, we've seen a stabilization in market share. But let's keep looking at the opportunities, and we continue to work with the capital allocation committee on that. I hand over to Rob on the guidance and blend on Retail.
Rob Wood: Thanks, Stella. I think you're right in terms of slight guidance shift by channel. So it's definitely fair to say that Online is a shade ahead of expectations in Q1, as I said with the prepared remarks, partly sports margin, so you can ignore that, but partly volume as well, particularly the U.K. So Online is a shade ahead. Retail, though, the opposite, I would say, a shade behind. And it was really only thanks to the good sports margins that we got back to where we would have expected to be. So 1/3 of the way through the year, but I think that is a fair summary Online shade ahead. Retail a shade behind. Not much really to add on Angstrom. I would say 2025 continues to be the U.S. focus. That's clear, 2 main aspects. One, I mentioned it earlier, but delivering Angstrom [indiscernible] in-play propositions for the major U.S. sports is a big deliverable for 2025. And then secondly, the Angstrom team are absolutely working closely with our trading team to improve our pricing. The focus right now is U.S. sports, but you can see that evolving to other sports over time as well. So I think the answer is for 2025, it continues to be U.S. sports.
Stella David: Great. I'm just going to say, I am very respectful of people's time. I think it's on a very busy day. So can we just go with one more question, and then I think we'll have to wrap it up.
Operator: We'll take the final question from Andrew Tam.
Andrew Tam: Congratulations once again to Stella. A quick one, just building upon Ed's question about Brazil. Can you talk about the competitive environment there? That's strong growth and obviously strong margins. Can you talk about what's going on in terms of upfront acquisition and retention costs there? How should we be thinking about that performance there at the contribution profit line?
Stella David: Sorry, I think you asked the next question. Sorry, you caught me unawares there. It's just the one question?
Andrew Tam: Just another one just about the U.K. government consultation about restructuring the gaming duties and what impact that might have on your business and the current U.K. organic recovery there as well, please?
Stella David: Okay. Well, look, thank you very much, Andrew. I'll take -- because I -- continue with the theme. I'll take the second question and I'll let Rob answer the first question. So on the consultation, I mean, it's very, very early days. You're talking about the potential harmonization of the rates across gaming and sports, I think. It will be a long journey. There's a consultation. There's all sorts of legislation that would have to change to enable a harmonization, which means that the earliest we perceive there'd be some change, whatever way it would be, would be late '27, early '28. And there's a huge amount of things that can happen between now and then. And clearly, the industry will be putting its point of view through as part of that journey. So it's really, really early days, but nothing is going to happen in the immediate short term. So hopefully, that kind of answers that question for you. And then I think I'll hand over to Rob to do the final one on some of the Brazil journey.
Rob Wood: Yes, I'll have a go at that. And just one extra point on the tax consultation, if I may. It's only Online.
Stella David: Yes, of course.
Rob Wood: And Retail has been excluded from the consultation, which is beneficial for us. So on Brazil, in terms of the competitive environment, there hasn't been any data yet. So it's really hard for us to draw any conclusions. We are expecting some report from the regulator at some point, which will, therefore, give us some insight. Perhaps what we can say is there hasn't been anything by way of significant new entrants into the market. And aside from change in practices like there's now a ban on acquisition bonusing that we've all adopted to, the environment doesn't feel like wholesale change versus where we were pre-regulation. I think all the same players will be the ones that are dominating the market share in 2025, just as 2024. But of course, we'll study it when we get some more data. In terms of contribution, inevitably, it's gone backwards with the introduction of the new tax and increased marketing. Quite how long it takes us to get back to where we were will depend on revenue growth rates from [indiscernible]. They are watching this space very carefully. But obviously, big picture, we're delighted that our last major unregulated market has now regulated. So we're up to 98% of our revenues locally licensed, which is fantastic.
Stella David: Great. Thank you so much. So I'm going to wrap this up and just say thank you so much for everybody joining the call and for all of your questions as well. And I just want to say to finalize, even though I think we've already said it about 10 times, but I'll say it again, Entain has had a strong start to 2025, and we are looking forward to building on that momentum and to also updating you again at our interim results in August. But clearly, if you've got any follow-up questions in the meantime, please contact the IR team, and then we'd be happy to talk through things with you. But in the meantime, thank you so much, and goodbye for now.